Operator: Good morning. At this time, I would like to welcome everyone to the Celestica First Quarter 2019 Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks there will be a question-and-answer session. [Operator Instructions] I would now like to turn the call over to Curtis Cheam, Investor Relations with Celestica.
Curtis Cheam: Good morning, and thank you for joining us on Celestica's First Quarter 2019 Earnings Conference Call. On the call today are Rob Mionis, President and Chief Executive Officer; and Mandeep Chawla, Chief Financial Officer. As a reminder, during this call, we will make forward-looking statements within the meanings of the U.S. Private Securities Litigation Reform Act of 1995 and applicable Canadian securities laws. Such forward-looking statements are based on management's current expectations, forecasts and assumptions, which are subject to risks, uncertainties, and other factors that could cause actual outcomes and results to differ materially from conclusions, forecasts, or projections expressed in such statements. For identification and discussion of such factors and assumptions, as well as further information concerning financial guidance, please refer to today's press release, including the cautionary note regarding forward-looking statements therein, our annual report on Form 20-F, and our other public filings which can be accessed at sec.gov and sedar.com. We assume no obligation to update any forward-looking statement, except as required by applicable law. In addition, during this call, we will refer to various non-IFRS measures, including operating earnings, operating margin, adjusted gross margin, adjusted return on invested capital or adjusted ROIC, free cash flow, gross debt to non-IFRS adjusted EBITDA leverage ratio, adjusted net earnings, adjusted EPS, adjusted SG&A expense and adjusted effective tax rate. Listeners should be cautioned that references to any of the foregoing measures during this call to non-IFRS measures, whether or not specifically designated as such. These non-IFRS measures do not have any standardized meaning prescribed by IFRS and may not be comparable to similar measures presented by other public companies that use IFRS or who report under U.S. GAAP and use non-GAAP measures to describe similar operating metrics. We refer you to today's press release and our Q1 2019 earnings presentation, which are available at celestica.com under the Investor Relations tab. For more information about these and certain other non-IFRS measures, including a reconciliation of historical non-IFRS measures to the most directly comparable IFRS measures from our financial statements. Unless otherwise specified, all references to dollars on this call are to U.S. dollars. As a reminder, we adopted IFRS 16 on January 1, 2019. IFRS 16 has eliminated the distinction between operating and finance leases. As a result, we recognized approximately $112 million in new right of use assets and lease liabilities as of January 1st, and related depreciation charges of approximately $8 million, and interest expense of $1.5 million during the quarter. The impact of adopting IFRS 16 on our non-IFRS operating margin and non-IFRS adjusted EPS was immaterial and did not affect our non-IFRS free cash flow. Also commencing in Q1 2019, we have modified how we calculate each of the non-IFRS adjusted ROIC and non-IFRS free cash flow to be consistent with prior representations. Please see our earnings release for details on these changes. Let me now turn the call over to Rob.
Rob Mionis: Thank you, Curtis, and good morning. Celestica's first quarter results reflect volatility in some of our key end markets, with revenues slightly below our guidance range, and non-IFRS adjusted EPS at the low end of our guidance range. Our capital equipment business, performed generally in line with our expectations as the demand environment appears to have stabilized at the depressed levels we experienced in the fourth quarter of 2018. Additionally, our communications end market was weaker than expected due to late quarter demand softness in some of our traditional OEM customers. We expect this softer demand environment in both capital equipment and communications to continue into the second quarter. We are responding to the current environment by allowing our call to the current revenue levels while staying focused on the long-term goals and the execution of our transformational strategy. I will provide you with an update on the status of our strategic initiatives and our priorities for the rest of the year shortly. But first, I'll let Mandeep review our first quarter results and second quarter guidance.
Mandeep Chawla: Thank you, Rob, and good morning, everyone. For the first quarter of 2019, Celestica reported revenue of $1.43 billion, a decline of 4% year-over-year. This was slightly below our guidance range, primarily due to late quarter demand softness from certain communications customers. Our non-IFRS operating margin was 2.4%, down 60 basis points year-over-year and below out guidance midpoint of 2.6%. Non-IFRS adjusted earnings per share were $0.12, at the low end of our guidance range. In our ATS segment revenue was 40% of our consolidated revenue, and grew 9% year-over-year, both slightly below our expectations, largely driven by material constraints in A&D. The increased year-over-year was driven by strong growth across our A&D, industrial, and Healthtech businesses, as well as the impact of acquisitions, partially offset by significant demand reductions in our capital equipment business. CCS segment revenue was down 12% year-over-year, driven by actions stemming from our CCS portfolio review as well as late quarter demand softness in our communications end market. Within our CCS segment, the communications end market represented 39% of our consolidated revenue in the first quarter, flat with the 39% level in the first quarter of 2018. Communications revenue in the quarter was down 5% year-over-year, below our expectations as lower than expected demand in traditional OEM programs more than offset the demand strength in new program revenue in support of data center growth. Our enterprise end market represented 21% of consolidated revenue in the first quarter, down from 25% in the first quarter of last year. Revenue in this end market decreased 21% year-over-year, in line with expectations, driven primarily by actions from our CCS portfolio optimization initiative. Our top 10 customers represented 62% of revenue for the four quarters, down from 69% last quarter and down from 71% from the same period last year. For the first quarter, we had two customers individually contributing greater than 10% of total revenue. Turning to segment margins, ATS segment margin was 2.6%, down from 5.2% in the first quarter of 2018. The year-over-year decline was driven primarily by losses within our capital equipment business at a level similar to last quarter as well as lower segment margin contribution in the remainder of our ATS business. In A&D, we experienced margin pressure due to shortages of high reliability parts, resulting in operational and material inefficiencies. In our industrial and Healthtech businesses, we are generating margins below target as we ramp multiple programs across the network as the result of strong bookings in the last two years. We believe that as the material constraint environment in A&D improves, and as the programs being ramped reach steady state, we will see an increased level of profit contribution. CCS segment margin was 2.3%, up from 1.7% year-over-year, driven by improved mix and productivity, partially offset by lower revenue. Moving to some of the other financial highlights for the quarter, IFRS net earnings for the quarter were $90.3 million, or $0.66 per share, compared to $14.1 million, or $0.10 per share, in the same quarter of last year. Higher year-over-year IFRS net earnings were the result of the gain on the sale of our Toronto property, partially offset by lower operating earnings and higher financing and amortization costs. Adjusted net earnings for the first quarter were $15.8 million, compared to $33.9 million for the prior year period. Adjusted earnings per share of $0.12 represents a decline of $0.12 year-over-year, driven by lower operating earnings and higher interest costs. Adjusted gross margin of 6.6% was down 60 basis points sequentially, primarily due to lower CCS revenues and weaker ATS performance. Adjusted gross margin was flat year-over-year . Our adjusted SG&A of $51 million, in line with our guidance, was up $4 million year-over-year. As a percentage of revenue, adjusted SG&A was 3.6%, up 50 basis points year-over-year. The increase in SG&A year-over-year is primarily driven by Atrenne and Impakt. Non-IFRS operating earnings were $35.1 million, down $24.6 million sequentially, and down $9.6 million from the same quarter last year. Our non-IFRS adjusted effective tax rate for the first quarter was 27%, higher than our annual guidance range of 19-21%, driven primarily by unfavorable profit mix in different geographies, offset in part by taxable FX benefits. Non-IFRS adjusted ROIC of 7.9% was down 710 basis points sequentially, and down 650 basis points year-over-year, driven by lower operating earnings. Moving on to working capital, our inventory at the end of the quarter was $1.1 billion, a decrease of $12 million sequentially. Inventory turns were 5.0, down 1.0 turns from last quarter and down 1.4 turns from the same quarter of last year. Our teams have been working diligently on improving our working capital, which I'll explain in more detail shortly. Capital expenditures for the first quarter were $20 million, or 1.4% of revenue. We completed the sale of our Toronto property in March and received total proceeds of U.S. $113 million, slightly higher than our original estimate of $110 million. Non-IFRS free cash flow was $145 million in Q1, compared to negative $34 million for the same period last year, driven primarily by the completion of the sale of our Toronto property, but also due to improved working capital. Excluding the Toronto property sale proceeds, free cash flow was $32 million in the quarter. We're pleased with the improvement in free cash flow this quarter, especially given that seasonality and variable incentive compensation typically are headwinds to our cash flow in the first quarter of our fiscal year. As we progress through the year, we expect to see further free cash flow generation, primarily driven by the unwind of inventory as we execute on our portfolio optimization actions. Cash cycle days in the first quarter of 69 days increased 14 days compared to the fourth quarter of last year. Higher cash days were driven by an increase in accounts receivables days as well as inventory days, partially skewed higher this quarter due to the large sequential decline in revenue. We've been experiencing elevated levels of inventory the last several quarters, driven primarily by material constraints. To partly mitigate these headwinds, we have been working with our customers and suppliers to drive working capital efficiency, and we're starting to see momentum from these efforts. Our accounts payable performance has improved to 70 days from 65 days sequentially and from 62 days year-over-year. Additionally, our customer cash deposits have increased to $120 million as of March 31st, up from $58 million at the end of the last December. We expect this balance to partially decrease in 2019 as we work with our customers to unwind inventory. Starting this quarter, we including the impact of cash deposits in our determination of cash cycle days as we believe it provides a more representative view of our working capital. Days in cash deposits in the quarter were negative six days compared to negative two days in the first quarter of 2018. Moving on to our balance sheet, our cash balance at quarter end was $458 million, up $36 million sequentially and up $22 million year-over-year. We've made progress toward deleveraging our balance sheet in the quarter by reducing the balance of our bank revolver from $159 million on December 31st to $97 million as of March 31st. During the quarter, we made a repayment of $110 million against our revolver, which was partially offset by a draw of $48 million primarily for share buybacks. Our net debt position at the end of March was $236 million, and gross debt to non-IFRST adjusted EBITDA leverage ratio was 2.4 times, compared to 2.6 times as of December 31st. We are pleased that we continue to maintain a strong balance sheet and remain confident in our long-term capital allocation priorities. We're focused on continued improvements in free cash flow and returning part of our capital to shareholders, paying down debt, and investing in the business to drive long-term profitable growth. These investments include CapEx in the business to support growth and may include targeted strategic M&A intended to enhance our capabilities or increase our scale. This quarter, we actively executed on our share buyback program, repurchasing 5.1 million shares at a cost of $44.5 million, representing over two-thirds of the 7.5 million shares we expect to cancel under our current normal course issuer bid. Restructuring charges related to our cost efficiency initiative were $7 million this quarter, bringing the total program spend to date to $51 million. Based on our current plans, we anticipate spending near the high end of the $50-75 million program amount, with an expected completion by the end of 2019. Now turning to our guidance for the second quarter of 2019, we are projecting second quarter revenue to be in the range of $1.40-1.50 billion. At the midpoint of this range, revenue would be down 14% year-over-year. Second quarter non-IFRS adjusted net earnings per share are expected to range between $0.09-0.15. At the midpoint of our revenue and adjusted EPS guidance ranges, non-IFRS operating margin would be approximately 2.4%. Non-IFRS adjusted SG&A expense for the second quarter is projected to be in the range of $53-55 million. Based on the projected geographical mix of our profit in the second quarter, we anticipate our non-IFRS adjusted effective tax rate to be similar to the first quarter. As a result of the higher tax rate we are experiencing in the first half of 2019, we expect our non-IFRS adjusted effective tax rate on a full-year basis to be in the mid-20% range, excluding foreign exchange impacts and one-time tax settlement. As we exit the year though, we are targeting to return to our previously guided annual range of 19-21%. Turning to our end market outlook for the second quarter, in our ATS end market, we are anticipating revenue to be up low single digits year-over-year. Although we are seeing strong growth across most of our ATS segments, this growth is being largely offset by the softness we are seeing in the capital equipment market. In our communications end market, we anticipate revenue to decrease in the high teens range year-over-year, driven by continuing demand softness in this end market. In our enterprise end market, we anticipate revenue to decrease in the low-30% range year-over-year, primarily driven by actions from our portfolio optimization initiative. I'll now turn the call over to Rob for additional color and an update on our priorities.
Rob Mionis: Thanks, Mandeep. Notwithstanding the challenging demand environment we are currently facing, I'm encouraged by the traction we are experiencing across most of our ATS segment, which now represents 40% of our consolidated revenue, up from 33% of revenues in 2018. Although this increased level of ATS segment revenue concentration was probably due to the accelerated reduction in CCS revenues, we believe that an increased level of profit contributions in ATS will lead to expanded margins for the company over time. Turning to the quarter, within ATS we had strong double digit year-over-year revenue growth in our A&D, industrial, and Healthtech businesses, helping to offset the soft demand environment in capital equipment. A&D benefited from new program wins and acquisition of Atrenne, which performed above expectations in its first year under Celestica ownership. As Mandeep referenced, both of our A&D business was impacted by material shortages in the quarter. This has resulted in a growing backlog in A&D, which we expect to gradually improve as we move through 2019. In our capital equipment business, the cyclical pressures in the semi conductive demand environment continued. And as discussed last quarter, we believe this soft demand environment will persist for the remainder of 2019. On the display side, we believe programs that we had anticipated to ramp in the second half of 2019 will be pushed out into 2020. Although we are currently seeing soft capital equipment demand in both the semiconductor and display markets, we continue to believe that the longer term market fundamentals are promising. In addition, we are encouraged by the strong bookings we've had in capital equipment over the last 18 months, including wins in an emerging power and signal distribution business and our first synergistic win with Impakt. Turning to CCS, the soft demand we saw in the quarter was driven by the unwinding of customer inventory buffers and mix volatility, driven by next generation technology. We expect these dynamics to continue into the second quarter, which is reflected in our outlook. If the softening of the communications end market persists into the second half of this year, we expect total company revenues for 2019 could be down in the high-single digits percentage range on a year-over-year basis. The industry dynamics within our CCS segment are changing as emerging technologies enable new business models that disrupt our traditional OEM customers. This trend has resulted in demand pressure for traditional OEMs, but has also helped with the emergence of a new class of customer such as cloud-based service providers. Celestica is well positioned to serve these new interests, as well as OEMs, as the value proposition from higher value added services, such as JDM, become important differentiators. We expect that, over time, growth in these customers will help offset declines in business with our traditional OEM customers. In this very challenging demand environment, we are taking a series of actions to improve our overall profitability. This includes accelerating our integration of Impakt, accelerating our productivity initiatives, and completing the ramp of multiple programs across our APS segment. Looking beyond 2019, we intend to keep driving toward our goal of achieving operating margins in the target range of 3.75-4.5% in the first half of 2020. There are some key drivers required to achieve this margin range. In ATS, a key priority is restoring ATS segment margins and operating to the mid- to higher-end of its target range of 5-6%. To do this, first, we need the current demand environment in capital equipment to improve to a level seen before the current downtown. While we are executing actions with the business to better align the cost structure to current demand levels, we are mindful of maintaining our critical mass in our capital equipment business so that we are well positioned for a return to growth. Second, we need a stable materials environment so we can maximize both labor and material efficiency. And finally, we need to successfully ramp a new program in our industrial and Healthtech businesses to their intended levels of profitability. In our CCS segment, the key priority is maintaining CCS segment margin within its target range of 2-3%. We intend to achieve this by focusing on two areas. First, completing the actions from our CCS portfolio review, which we expect to finish by the end of 2019. And second, continuing to drive high levels of cost productivity in a volatile demand environment. As we navigate through this challenging environment, we expect 2019 to be a rebuilding year. We remain focused on our transformation strategy, intended to drive increased revenue and earnings diversification, and sustainable and consistent profitable growth. I believe the near-term actions we are taking will drive improved profitability as we progress through 2019, and that these actions are consistent with our long-term margin expansion goals. Celestica has shown repeated in the past that it can rebound from market challenges such as these, supported by the hard work and perseverance of our employees. I want to thank all of our employees for their dedication and determination. I'd like to now turn the call over to the operator to begin our Q&A.
Operator: Thank you. [Operator Instructions] Your first question comes from Thanos Moschopoulos of BMO Capital Markets. Your line is open.
Thanos Moschopoulos: Maybe starting off on the A&D side, can you elaborate a little bit on the component shortages you're experiencing? What components are we talking about and what color do you have as to when that might alleviate?
Rob Mionis: Hi, Thanos. This is Rob. Yeah, we're seeing some severe material constraints on high reliability passives - capacitors, if you will - large case MLCCs. We've had decommits from several suppliers across the supply chain. We think, based on their action plans, it's going to gradually improve as the year gets long. But we think this is going to be a constraint for most of 2019.
Thanos Moschopoulos: Okay. And then, on the semi side, I believe you said that the semi losses were the same as last quarter. I had hoped we'd see a little bit of sequential improvement from cost actions. Should we expect to see that in the upcoming quarter, and might you be able to quantify the size of the semi drag on Q1?
Mandeep Chawla: Yeah. Hey, Thanos. It's Mandeep here. So, the loss was similar to the last quarter. As you'll recall, we had indicated that that was in the mid-single digit range - millions of dollars. And so, we saw something relatively consistent in the first quarter. We are taking a number of restructuring actions. We're also in the process of ramping the number of programs integrating Impakt, as you know. And so, the actions that we're taking, we believe right now, will lead us toward profitability near the end of the year. And that's going to be a result of the cost actions we're taking. We continue to believe that the depressed market levels will continue through 2019. There are some external parties that are a bit more optimistic on the back half of the year, but we're adjusting our cost structure assuming that that's not going to happen.
Thanos Moschopoulos: But I guess the message from you guys is, relative to last quarter, you really haven't seen any tangible signs of a recovery at this point.
Mandeep Chawla: We haven't. But at the same time, we haven't seen it getting a lot worse either. We believe that the market has stabilized at these low levels and we expect that it'll continue for the remainder of the year.
Thanos Moschopoulos: Okay. Thanks, guys. I'll pass the line.
Mandeep Chawla: Thanks, Thanos.
Operator: Your next question comes from Robert Young of Canaccord Genuity. Your line is open.
Robert Young: Hi. Good morning. Outside of A&D, you said that some of your CCS customers are eating into their buffer inventory? Is that an indication that the supply constraints are getting better in that part of the business or is that still a problem?
Rob Mionis: Hi, Rob. Yes, I think it is. We are seeing our CCS customers eating into their buffers, which is really showing the improved supply chain budget on the commercial side - the small case MLCCs are getting better. Memory, obviously, is getting better. What we saw in communications this quarter is the unwinding of buffers. We also saw some product technology transitions as some products phase out and new products are phasing in - there's a pause in demand curve when that happens. We experienced some of that in this quarter as well.
Robert Young: Okay. And then, I guess the second question for me - you'd said that you'd be looking at targeted M&A. Maybe if you could just refresh us on - generally, on your appetite for M&A. A lot of changes going on this year. You said it was a transition year and so just refresh your appetite here in 2019 for M&A.
Rob Mionis: So, in the short term, we're very focused on Impakt. We completed the integration of Atrenne and we're now focused on Impakt. We do have an active M&A pipeline, but I would say we're looking for niche capabilities in the short term to fill in very specific holes in our strategic plan and our capability offerings.
Robert Young: And last question, the CCS portfolio review said it's mostly done. Is there any change in the timeline, or the expected size is still $500 million revenue rationalization? And then, I'll pass the line.
Mandeep Chawla: Yeah, no. The - it is done in the sense of the review is complete. We've identified the programs and they are actively under way. If you will, the train has left the station. And we, at this time, are seeing relatively consistent forecasting from the remainder of the enterprise business. When we had talked about some of the softness in CCS, it's primarily in the communications end market for many of the reasons that Rob mentioned.
Robert Young: Okay. Thanks. I'll pass the line.
Mandeep Chawla: Thanks, Rob.
Rob Mionis: Thanks.
Operator: Your next question comes from Matt Sheerin of Stifel. Your line is open.
Matt Sheerin: Yes, thank you. Just following up on the last question regarding the enterprise business, I know that you've got some programs unwinding. Could you give us an idea - I mean, if the rest of the business remains stable, what sort of revenue run rate we should be expecting the business ending - or let's say entering 2020?
Mandeep Chawla: Yeah, so - hey, Matt. Good morning to you. Early good morning. The - overall, the majority of the portfolio actions we're taking are in the enterprise space, and we believe that that is not going to be offset with that significant level of demand. The market itself is growing in the very low single digits right now. And then, when you look at the program specifics of where we play, there are some pluses in some areas. We're seeing some additional growth happening in areas like Flash. We're seeing a little bit of softness in areas like servers. So, we expect the remainder of the enterprise portfolio to be relatively flat through 2019.
Matt Sheerin: Okay. Yeah, my point is the run rate we should be expecting for the business in that kind of environment. You talked about $500 million or so going away, so it is like a $1.2 billion number?
Mandeep Chawla: Yeah.
Matt Sheerin: Is that a fair number to think about? Yeah?
Mandeep Chawla: Yeah, I think the way to think about it is we did $1.7 billion last year. $500 million is going to come out of that $1.7 billion. We should be exiting the year - pluses and minuses as we go off course, but based on what we can see right now, an exit of $1.2 billion is probably reasonable.
Matt Sheerin: Mm-hmm. And yeah, you talked about - just relative to these programs in your inventory and your working capital, I would imagine that should have a very - a significant favorable impact on your free cash flow.
Mandeep Chawla: Yeah, so on the free cash flow, we were targeting - we continue to target $100 million or more in a given year. When we were guiding toward revenue being down in the mid-single digits, we believed that there would be an opportunity to go beyond that. And if the revenue does soften even more as we said could happen if the communications dynamics continue, then it would lead to a greater opportunity. That being said, what you're seeing right now is we are pleased with the free cash flow we generated in the first quarter. We have not yet seen the inventory unwind fully, which matches up with the revenue levels. It's partially due to the material constraint environment just not fully improving yet. Lead times are still extended. But as the constrained environment improves, and as revenue drops down, our inventory over time will adjust.
Matt Sheerin: Okay. And just within enterprise, and the programs unwinding, I know you've got both servers and storage. Are you seeing programs go away in both areas or is it just one - servers, for instance?
Mandeep Chawla: It's primarily in the storage area. We do have -
Matt Sheerin: …in the storage.
Mandeep Chawla: We do have some program disengagements on the server side, but it's primarily storage.
Matt Sheerin: Okay. And the communications, you talked about some of the reasons why you're seeing weakness from - and it sounds like broader enterprise, traditional enterprise customers. And are you seeing any share shifts? Or, because of the lower demand or softer demand environment, more increased pricing, which could lead you to maybe exit some programs? As you said, you may be reviewing some of those businesses?
Rob Mionis: Yeah, within communications, that is part of our portfolio review. And we are taking some actions in the back half of the year on our communications portfolio. Broadly speaking, what we're seeing in the communications space is disaggregation is creating new business models, infrastructure as a service - or our OEM customers are getting disrupted, if you will. There's an increased level of competition. There's more choices for the end customer. As a result of that, that's putting pressure on our traditional customers. That being said, Matt, that's also creating a new opportunity for us with a new class of customer, and serving that new class of customer with our JDM portfolio and also with some traditional EMS services. But, it'll take…
Matt Sheerin: Okay.
Rob Mionis: …a bit of time to equalize those curves out, if you will.
Matt Sheerin: Okay. And just a last question for me, Rob. A bigger picture question for you. You've been in the CEO role now for three years or so. And I know the intent was to turn the business around, really get into those diversified markets. And it seems like every two steps forward we've had to take two or three steps back for different reasons, some reasons obviously not in your control. It sounds like you're at the bottom here in terms of margins and the strategy is still moving ahead. But what sort of word do you have for investors here, which probably have to wait through another two or three quarters really before we see signs of things turning around?
Rob Mionis: Yeah, thanks for the question, Matt. I would say we have absolute conviction that the strategy that we're pursuing is the right strategy. What we experienced here in this quarter is a pushout of some higher calorie ATS demand and the cyclical down pressure of capital equipment. And we also saw some pressure in our communications market. But the portfolio actions that we're taking are absolutely going to work. At least, that's our belief. And the balance of the ATS portfolio is actually growing very nicely. We've had a target to grow our ATS portfolio 10% per year organically over the long-term. And if you take out the depressed CE market, we're actually on track to do that organically. So, our ATS portfolio is performing quite well. It's just, given the cyclical pressures we're seeing here in capital equipment, it's making the comps and the overall results suppressed here in the short-term.
Matt Sheerin: Okay. Thank you.
Operator: Your next question comes from Todd Coupland of CIBC. Your line is open.
Todd Coupland: Hi, good morning, everyone.
Rob Mionis: Good morning.
Todd Coupland: I wanted to ask about the semiconductor business. Obviously, the anticipated rally in many of the companies in this space has started to show through. And I'm just wondering what is a typical lag and why are you, I guess, seemingly not accepting those outlooks for recovery in the second half of the year? Just bridge that gap, which I would've thought you would've started to see in the second half of the year. Thanks a lot.
Rob Mionis: Yeah, so within semi cap, we're 11 months into the current cycle measuring peaks to troughs. The average cycle is about 17 months, so some of the optimists are saying toward the back half of the year we should see a little bit of an uptick. However, when you look at the metrics, we're still elevated inventory levels in memory. Pricing is suppressed. And when those two things are present, people don't start spending on CapEx until pricing recovers. So, we don't see any indicators right now that it's going to pick up in the second half of the year. However, some people feel that it will. Again, we're playing it conservative, such that we're allowing a cost structure for a down year. But we are - we'll be in a position to hopefully support that increase in revenue should it come in the back half of the year.
Mandeep Chawla: Todd, I'll just add to that to say the market dynamics are what they are and the demand upswing has not yet come through in terms of POs. But what we're really pleased with is that we're seeing a lot of market share gains happening. We've had incredibly strong wins in 2018. We've had strong wins so far in 2019, helped even more by the Impakt acquisition and the joint capabilities that we both bring to the market. And so, that's why we talk about the fact that the fundamentals are there over the longer term. We're seeing those fundamentals being confirmed via the wins that we're getting. We just haven't seen the demand pick up in terms of actual orders.
Todd Coupland: Okay. Sounds good. And then, just on the display side of the market, what's the dynamic that's caused the push out into next year? I would've thought you started to see some of those next generation TVs actually start to sell in second half of '19. So, just take us through that. Thanks.
Rob Mionis: Yeah, the display pushout is a combination of two factors - one is just the slower mobile cellphones going on. That is a factor in the display pickup. And also, the TVs, as you mentioned - a lot of the display spending is project based. And when those big projects hit, they hit pretty fast and pretty hard. And we were tracking them to hopefully start spending toward the back half of this year and decided, for a variety of reasons, largely softer mobile phone sales in Asia, to push out by a quarter or so. But when it does return, though, we do think it's going to be on the larger form factors, which have higher selling prices, higher complexity, and that plays to our strengths. And during this down cycle, as we mentioned during the call, we're actually accelerating our integration activities and moving more as a capability to our lower cost regions. We'll have a much more efficient network when the demand does curve, and be able to respond in kind.
Todd Coupland: And, to give us an idea what the potential leverage is when it returns, what would be sensitivity to overall ATS growth? Is there any way to give us a sense on display and semi cap coming back? What that could mean to the top line? Does it give you outsized growth, or does it just get you to the 10%? Give us an idea on what that sensitivity could look like when it comes back. Thanks a lot.
Mandeep Chawla: Sure. Mandeep here. So, I'll talk overall ATS if I can. If you exclude the capital equipment business, we're seeing strong organic growth happening in the rest of our portfolio, in the - moving toward the long-term 10% growth rate that we have been targeting. And then, of course, we have M&A on top of that. Capital equipment, of course, is materially down. The margin profile of our capital equipment business, when it's running strong, is quite healthy. It is - many parts of the programs are within our target range. There are some programs that are accretive to our margin target range in ATS. And then, of course, as we talked about with the Impakt acquisition, we were very pleased with the overall performance of that business. Capital equipment, again, lost mid-single digit millions of dollars this year. We're going to cut costs and adjust our cost structure so that we can get that business to a nominal level of profitability by the end of the year. But that, when demand returns, the profitability will grow from that and be expected to be in line with ATS overall margins.
Rob Mionis: And it should support us moving into the mid- to higher-end of our ATS target margin range when that…
Mandeep Chawla: That's right.
Rob Mionis: The other thing I'll also add is - since it didn't come up, but the synergistic win that we just had between Celestica and Impakt - it was a competitive takeaway. It was really won based on our joint capabilities. The size of it, relative to the business as a whole, is pretty significant. And it was really the function of our vertical integration and Korean footprint. So, that's just one example of how the value proposition is playing out. We have a very strong sales pipeline, or booking pipeline, based on bringing those two businesses together. So, when market demand does return and we're able to get our integration accelerated like we're working on now, I think we'll be in very good shape.
Todd Coupland: Thank you.
Mandeep Chawla: Thank you.
Rob Mionis: Operator, next…
Operator: Your next question comes from Gus Papageorgiou of Macquarie. Your line is open.
Gus Papageorgiou: Hi. I'm just wondering, could you discuss the JDM business and how it's doing on a year-over-year basis. I know you're hoping that that offsets a bit of your communications business. Could you talk about the margin profile of your communications versus JDM and maybe the growth trajectories of the two?
Rob Mionis: Sure, I'll start off and let Mandeep finish. JDM has been a strong growth for us over the last two years. This year, we're not expecting similar growth. It's largely driven that we have a higher base and some of the inventory buffers that our customers put in place are starting to unwind. There's also going to be a little bit of an impact this year with some technology changes - HD going to Flash, 40G going to 100G, and comps. That being said, our bookings growth rate is still in double digits. We introduced 13 new programs last year. But this year, we think the growth might be a little muted based on just inventory buffers and technology transformations. I'll let Mandeep comment on margins.
Mandeep Chawla: Yeah, so overall the business has seen some significant levels of growth and we're seeing steady performance in 2019. But there are the dynamics that Rob mentioned. As we exited 2018, the business had moved EBIT wise to being in line with the overall CCS portfolio. As we talked about for a while, the gross margins have been overall accretive, but there is a large investment that we make in that business. But with the demand levels that it's at now, it's now moved the EBIT margin to being largely in line with CCS. As we continue to grow that business, though, and continue to win new business, there should be some more leverage opportunity in the future.
Gus Papageorgiou: Do you think it'll grow faster than the overall business going into next year?
Mandeep Chawla: Yeah. The product platforms that we are on have strong overall demand. We're seeing good levels of bookings. But because of some of the transitions happening in '19, it's a little bit more muted. But we would expect to see growth moving into 2020.
Gus Papageorgiou: Okay. Thank you.
Operator: Your next question comes from Ruplu Bhattacharya of Bank of America Merrill Lynch. Your line is open.
Mandeep Chawla: Hi, Ruplu.
Ruplu Bhattacharya: Good morning. Thanks for taking my questions. Just on communications, if you can just dig a little bit deeper into that. So, revenue is down 5% year-on-year. I think you mentioned three things, right? You said program disengagements, inventory buffer reduction, and reduced - toward the end of the quarter, reduced demand. Is there any way to quantify each of those three and the impact year-on-year, either on a dollar basis or on a percent basis?
Mandeep Chawla: So, hey, Ruplu. I'll give you a little bit more color, maybe, on the market level. So, as Rob had talked about, the bigger drivers were buffer inventory that are - customers had built up over time. But then, there's also some impact from product transitions as well. We've seen it primarily with our legacy OEM customers versus some of our newer service provider customers. But there is that demand volatility across the space. When you look at an end market level, we're seeing some strong growth overall in optical. Optical systems is an area of strength right now. Components was relatively flat. But we are seeing the softness, though, across a number of the other lines of businesses. Routing and switching is down, networking is down - including routers as well. So, it was relatively broad based, but optical systems was a little bit of a shining piece to it.
Ruplu Bhattacharya: Okay. Thanks for the color, Mandeep. That's helpful. And then, just on inventory buffer reduction, is that now down or do you think there's still more of that happening in the June quarter?
Rob Mionis: I think it's going to take a couple of quarters for that to unwind. Our estimate right now is - as we exit Q2, the inventory buffers should have subsided, but we'll have to assess that at that time.
Mandeep Chawla: Yeah, so right now, we have assumed in our guidance that the softness continues into the second quarter. And then, as we've indicated, should that softness continue beyond the second quarter, that's what would lead to further company margin - or company revenue growth pressures moving from the mid-single digits toward the high-single digits.
Ruplu Bhattacharya: Okay. Got it. Okay, and the last question for me - just on this - is when we think about the - you talked about technology transition. Was that related to 5G? And was it - the softness you saw, was that on the enterprise communications side or on the telecom side? Was there anything in particular that was weak?
Rob Mionis: Yeah, it - part of it could be - on the 5G, on the telcos, we believe what might be happening in the marketplace is that the telcos are pausing some of their demand, if you will, waiting for next generation platforms to come so they're not investing as much in that 4G infrastructure. So, that could have a play to it. The other thing that's also happening is just some of our traditional OEM customers are coming up with next generation products. As soon as those are announced, there's always a little bit of a natural slowdown on the existing platforms until the new platforms get into market. And we're seeing a little bit of that as well.
Ruplu Bhattacharya: Okay. Okay, thank you for the color on this. I appreciate you taking my questions. Thanks.
Mandeep Chawla: Thanks, Ruplu.
Operator: Your next question comes from Paul Treiber of RBC Capital Markets. Your line is open.
Paul Treiber: Thanks very much. Good morning. Just on the late quarter demand softness in the communications market, could you just elaborate on the uncertainty at this point that could lead to the demand softness spreading to the second half of the year?
Rob Mionis: Yeah, I would say it's a little bit more of the same. Right now, we're under the assumption that the inventory buffers will take a couple of quarters. But if there's more inventory buffers that need to bleed out to the back half of the year, that would suppress communications down. Also, it could suppress it down - is just a longer adoption period on some of the new product technology transitions that are going on. And then, just broadly speaking, taking it up a level, the end customers have a lot more of a choice, putting more competitive pressures on our traditional OEMs. So, infrastructure as a service is just creating more pressure, I guess, on our traditional OEMs. So, if our customers lose share, if you will, or can't maintain share, that'll obviously have a negative impact on us as well.
Paul Treiber: Thanks. That's helpful. Within CCS, what's the portion of revenue that relates to traditional OEM versus some of the new cloud providers? And then, related to that, are any of the new cloud providers in the - your top 10 customer list?
Mandeep Chawla: Hey, Paul. So, we don't disclose right now the breakout between traditional OEMs and service provider. What I can tell you is that we have been growing quite a bit with our service providers. It's a diverse customer base, and it's a customer base that's been growing for a number of years, both buying our JDM product but also not only in JDM. That's the level of color that we're able to provide.
Paul Treiber: Okay. And then, just one last one for me. Just on uses of capital in the remainder of 2019, and obviously share repurchases have been quite strong in Q1. How do you think about share repurchases going into the second half of the year?
Mandeep Chawla: So, we have, as you know, purchased 5.1 million shares - 7.5 million shares is what estimate is what we're going to be able to do under the NTIB. That may flex up to 8 million. It depends on how we spend on stock-based compensation. But our intention right now is to complete the share buyback program in 2019. We also expect to continue to generate positive free cash flow, which would be in excess of that. And we intend to invest that excess free cash flow into paying down our debt further as well as investing in the business.
Paul Treiber: Okay. Thank you.
Mandeep Chawla: Thank you.
Operator: Your next question comes from Jim Suva of Citi. Your line is open.
Timothy Young: Hi. This is Tim Young calling on behalf of Jim Suva. Thanks for taking the question. A quick follow-up question on communication softness from traditional OEM customers. Are those customers within your current program review or outside of the program review?
Mandeep Chawla: So, the program review that we've taken, the $500 million that we've identified, is largely within enterprise. But as Rob had mentioned, our portfolio review consists of looking at all of our business. But the revenue reduction that we're seeing in communications is not tied to the program disengagements. It has to do with the…
Timothy Young: That's…
Mandeep Chawla: …end market volatility.
Timothy Young: So, is it possible that you expand this program review given the volatility in the market?
Rob Mionis: To some extent, as Mandeep mentioned before, the program review that we did, that review is complete. But to another extent, we always evaluate current market conditions, current program profitabilities, our current network. And we would make those decisions at the time if we need to expand it. The program that we did is as much about market and customers as much as line of business. The programs that we've targeted for the review have several things in common. They're low margin, low ROIC, low value added solutions. And Mandeep mentioned those largely impacted the enterprise space. But if those traits fall into the communication space, then we would certainly look to take action - both on the operational side, commercial side, or on portfolio actions as well.
Mandeep Chawla: Yeah. And Tim, just to remind everyone, the portfolio review was initiated by taking a look at the strategic nature of what we're doing with our customers. And when we deemed that it didn't necessarily have a strong strategic fit, and the financials were not reflective of the work that we're doing for our customers, that's when we began the work that we did. And as a result, it landed largely in enterprise. It's also largely landing in fulfillment type of business, which we have spoken about for a number of years as a business that is attractive to us when the margins are really good. But if the ROIC model doesn't hold, it has not a very strong strategic fit for the company.
Timothy Young: Got it. That's very helpful. Some of the supply chain companies mentioned softness in storage market. Are you seeking similar weakness in the end market? And if so, can you maybe give us some color on the dynamics in the end market demand and what you are going to - deal with this softness? Thank you.
Rob Mionis: Yeah, so - broadly speaking, we have seen weakness in HTD. But we also are seeing some strength in our JDM - our Flash programs, which are supported by JDM platform. Based on our mix of business, our Flash only - growth in Flash only partially offsets the pressure that we're seeing in HTD.
Timothy Young: Gotcha. That's all my questions. Now, I'll pass the line. Thank you.
Mandeep Chawla: Thanks, Tim.
Operator: There are no further questions at this time. I will now return the call to our presenters.
Rob Mionis: What we experienced in this quarter is a lower demand from a slight group of CCS customers. That, combined with weak capital equipment market, created significant headwinds for us in the first quarter. However, over the long-term, we're making the hard decisions to shape our portfolio and to expand it to higher value added markets. And we believe that this strategy is sound and, over time, that the actions that we're taking will improve our diversification and enable consistent profitable growth. However, in the short-term, we're going to work through these headwinds with an eye toward the mid-term prize. When our end markets recover, we will be well positioned. Thank you for joining this call and I look forward to updating you as we progress throughout the year.
Operator: This concludes today's conference call. You may now disconnect.